Operator: Good day ladies and gentlemen. And welcome to the IMAX Fourth Quarter and Full Year 2019 Earnings Conference Call. [Operator Instructions] As a reminder, today’s conference is being recorded. At this time, I would like to turn the conference over to Ms. Heather Anthony. Please go ahead Heather.
Heather Anthony: Thank you, Lisa. Good afternoon everyone and thank you for joining us on today’s fourth quarter and full year 2019 earnings conference call. On the call today to review our financial results are Rich Gelfond, Chief Executive Officer; and Patrick McClymont, Chief Financial Officer. Megan Colligan, President, IMAX Entertainment; and Rob Lister, Chief Legal Officer, are also joining us today. Today’s conference call is being webcast in its entirety on our website. A replay of the webcast will be made available shortly after this call. In addition, the full text of our fourth quarter earnings press release and the slide presentation accompanying today’s call, have been posted on the Investor Relations section of our website. At the conclusion of this call, our historical Excel model will be posted on the site as well. I would like to remind you of the following information regarding forward-looking statements. Our comments and answers to the questions on this call, as well as the accompanying slide deck, may include statements that are forward-looking and that they pertain to future results or outcomes. Actual future results or occurrences may differ materially from these forward-looking statements. Please refer to our SEC filings for a more detailed discussion of some of the factors that could affect our future results and outcomes. During today’s call, references may be made to certain non-GAAP financial measures as defined by Regulation G of the Securities and Exchange Commission. Discussion of management’s use of these measures and the definition of these measures, as well as reconciliations to non-GAAP financial measures, including adjusted net income, adjusted EPS and adjusted EBITDA, as defined by our credit facility, are contained in this afternoon’s press release. With that, let me now turn the call over to Mr. Rich Gelfond. Rich?
Rich Gelfond: Thanks Heather and good morning everyone. We are pleased to share our results for the fourth quarter and full year 2019, an extremely successful year in which we drove growth while maintaining cost discipline and posted several new company records. Thanks to disciplined focus and execution, we delivered on the initial guidance we shared with you this time last year and turned in a strong financial performance. These results demonstrate the strength of the IMAX brand and unique value we create across the global entertainment ecosystem. On Slide 4 we have the highlights for the full year, some of which include record annual revenue of $396 million, up 6% year-over-year; record adjusted EBITDA of $149 million, up 12%; a 15% increase in adjusted earnings per share; 7% in global box office for an all-time record of $1.108 billion; and 9% growth in our commercial theater network as we continue to diversify a global brand footprint. As we look ahead, we are focused on building a strong position in several key ways, strengthening and diversifying our content portfolio; two, growing and diversifying our global theater network; three, evolving our technology to provide the best possible experience to audiences and the best possible tools to creators; and four, capitalizing on strong demand for the IMAX experience in new ways. Of course, we’ve clearly faced headwinds in China early this year due to the coronavirus. First, I want to say that our thoughts and prayers are with all those impacted by the outbreak in China and around the world. We continue to monitor the safety of our employees in China closely and are grateful that all are accounted for and healthy. In terms of the impact on our business let me give you a brief update of what we know and provide some context. At this time all theaters in the country remain closed. We support the decision of the government to do all they can to contain the virus. On Slide 5 you could see that prior to the coronavirus related closures, the IMAX China business was performing well and had strong momentum following a very successful 2019. At the close of 2019 our commercial theater network in China stood at 702 locations, up 13% year-over-year.  Our 2019 Greater China box office of $366 million was at an all-time high and grew by 9% year-over-year, or 14% in constant currency, significantly outpacing the market growth of 5%. And nine of the top ten titles in China had an IMAX release in 2019, demonstrating our continued high hit rate, which is being driven by our flexible programming strategy. Overall, we’re encouraged by the long-term performance and trajectory of our business in China. And while the coronavirus is a serious short-term challenge we see it as a rare, out-of-the-ordinary event that will ultimately test. We are confident the business will rebound and resume delivering attractive growth and strong performance once conditions in China normalize. While every situation is unique we believe that consumers will be eager to get out of their homes and return to shopping malls and cinema complexes for out-of-home entertainment, driving a rebound in box office which is what occurred in Hong Kong post the SARS outbreak in 2003. Furthermore, at this time we continue to expect that four of the postponed titles from our Chinese New Year slate will arrive in theaters sometime this year. While there are no guarantees we expect that these releases will ultimately be rescheduled for multiple dates, giving them more room to breed rather than competing head-to-head as they would have during the New Year period. As a result we believe they will be well positioned to capitalize on the strong audience demand we saw in presales and buzz heading into Chinese New Year. Among those films is Detective Chinatown 3, one of the first Chinese local language releases to be filmed with IMAX cameras. Moving to 2020 more broadly, as we look at the 2020 slate we are encouraged by our pipeline for a number of reasons. First, many key titles feature IMAX technology which serves as a key differentiator. We made a strategic effort to inject more IMAX DNA into our slate, working with leading filmmakers to utilize our technology to bring the biggest blockbusters to life. As we said, historically, when filmmakers use our cameras, we tend to capture a greater share of box office. In 2020, we’ll set a new record for releases that are filmed in IMAX with at least five of the year’s biggest films, including No Time To Die, newest installment in the James Bond franchise, which will be released a few days early in our theaters. Wonder Woman 1984, Chris Nolan’s latest sci-fi epic, TENET, Paramount’s Top Gun: Maverick and Detective Chinatown 3, which again at this time we anticipate will be released later this year. Top Gun will be certified as filmed in IMAX under a new strategic initiative through which we certify top of the line digital cameras to shoot in IMAX when paired with our proprietary post-production technology. Second, the 2020 pipeline looks to be broad and balanced across the board, full of films throughout the year that hold strong appeal with our audience. For Marvel’s Black Widow and Eternals to Fast 9, which has already begun advance ticket sale for its May debut. To the sequel to the smash hit Venom to the highly anticipated adaptation of the sci-fi classic Doom. We continue to drive global diversification of our content portfolio and effort that has been very successful and it’s evident for our results in 2019. It’s important to remember, IMAX is a global brand as you can see on Slide 7. In fact, our percentage of box office derived outside of North America reached 67% in 2019, up from 65% in 2018. On Slide 8, you can see that for the first time in 2019, our Greater China and rest of world markets outgrows the domestic business. We set new yearly records in 2019 for local language box office, China box office and international box office outside of China. In fact, we set new IMAX box office records in 27 countries worldwide. It is clear that our efforts to grow our network and capture the opportunity in international market is bearing fruit. Furthermore, we’re leveraging our brand, technology and relationships across the industry to bring new types of content and experiences to our screens. With the proliferation of streaming platforms and content, we are seeing that streaming services are looking to eventize their content with an out-of-home experience in an effort to break through the clutter. Partnering with streamers would also create a new content pipeline for IMAX and an opportunity to offer exclusive programming and drive utilization of the network. This continued diversification of content and global box office would help open new opportunities for us as we grow our theater network. We also continue to see a very strong reception from exhibitors and audiences around our state-of-the-art IMAX with Laser technology. We installed nearly 100 laser systems for the full year, including a record number of system installations in the fourth quarter. We also have signed up clients in key strategic markets like India, Japan, China, Saudi Arabia and Indonesia. Overall, we now have 1,529 commercial theaters worldwide. And while that footprint gives us unique global scale, we still see significant room for growth. Turning to Slide 9. We recently updated the total addressable market for our network, an exercise to determine the growth potential for IMAX territory-by-territory over a period of about three to five years in the future. We do this analysis regularly as global markets evolve and grow, creating new opportunities for the company. The analysis uses a set of key metrics, including addressable audience, theatrical box office and content mix across territories. Including open-end backlog for new location, our network stood at 1,963 theaters at year end. However, through our analysis, we now believe our network has the potential to grow to more than 3,300 locations worldwide. This year we plan to aggressively target high growth emerging markets where we’re most under-penetrated such as Japan, the Middle East, Southeast Asia and South America. We already have solid momentum in that effort, having recently signed an expansion of our relationship with Cinépolis, a key partner in emerging markets that will see us expand a presence in markets including Dubai and Peru. Importantly, building out our international footprint will put IMAX in an excellent position to capitalize on the highly anticipated content pipeline for 2021 as seen on Slide 10. Major Hollywood films scheduled to be released in 2021 include four Marvel titles including the latest installments of Spider-Man and Thor, the highly anticipated new Batman film, new entrance from global blockbuster franchises, including Fast & Furious 10, Mission: Impossible and Jurassic World, and of course, James Cameron’s Avatar 2, the sequel of the highest grossing IMAX film of all time. We believe that the vast majority of the projected top 10 releases for 2021 have the potential to top $1 billion in global box office. Beyond the box office, we continue to create opportunities to expand our ecosystem and add new high quality revenue streams. Moving to Slide 12. We continue to grow our IMAX Enhanced initiative, through which we will partner with streaming platforms, studios and high-end device manufacturers to bring IMAX content into the home. The offering is now available on nascent streaming platform in the U.S., Europe, China and Japan. We have premium partners across major in-home device categories from TVs to speakers to receivers, enabling consumers to create a complete home theater experience through IMAX. Overall, IMAX Enhanced today is available in 14 countries globally across 3 million devices. And our content portfolio continues to grow. For instance, last year, our release of Spider-Man: Far From Home on IMAX Enhanced, made it the first Marvel title ever to be available in IMAX exclusive standard aspect ratio for the home. As we capitalized on the in-home opportunities created by SVOD, we’re also looking to capitalize on the out-of-home opportunity created by skyrocketing experience economy. IMAX is among the broadest out-of-home distribution platforms in the world. We believe there’s an attractive opportunity as consumers, led by millennials, increasingly value and choose to spend on out-of-home experiences over material goods. Market researcher firm, Euromonitor, estimates the experience economy will grow to $8 trillion by 2030. We are increasingly using our platform, which boasts more than 0.5 million seats across 81 countries and territories worldwide to explore unique experiences from esports to exclusive music events and beyond that leverage our scale, technology as well as the strength of our brands and our relationship with creators. In conclusion, IMAX delivered very strong results in 2019 and our continued ability to deliver is a result of the unique privileged position we built in the ecosystem. Consumers seek out the IMAX experience for immersive blockbuster experiences. Studios value IMAX as a mark of a must-see film and a powerful partner in marketing and driving box office for their biggest releases. The world’s best filmmakers and now creators more broadly are increasingly using our end-to-end technology to bring their creativity to life. Exhibitors rely on our theaters to provide a premium experience that drives ticket pricing, volume and differentiation. And finally, streaming services offer strong new opportunities for us to bring new event content to our theaters and bring the IMAX experience to home and entertainment. With the global scale of our network, we believe that we are well positioned to capitalize at the change at hand in the entertainment industry. And we’re confident in our ability over the long-term to continue to drive our overall financial performance. With that, I’ll turn the call over to Patrick.
Patrick McClymont: Thanks, Rich, and good afternoon, everyone. On the same call a year ago, I discussed three things that matter in assessing the quality of any business, growth, margins and returns. During 2019, IMAX continues to produce improving results across each of these metrics. Let’s start with growth. 2019 built off the progress we achieved in 2018. Total revenue increased 6% and box office increased by 7%, delivering on the initial guidance we provided early last year. Next, margin. As many of you know, our adjusted EBITDA margin previously peaked in 2015 at 40.5%. More recently, we’ve delivered adjusted EBITDA margin expansion in 2017 and again in 2018. For 2019, we guided to adjusted EBITDA margins in line with 2015. In fact, we surpassed that level at a new peak of 41.7%. Finally, returns. We like to look at returns before the impact of the minority interest for the public shareholders in the China business. This allows us to assess the returns of the whole enterprise we are managing regardless of ownership structure. Once again, 2018 was the inflection point for our return profile as the top line grew, margins expanded and we controlled expenses. We continued our disciplined approach to capital allocation in 2019 as evidenced by our consolidated ROIC of 10.3%, in line with our guidance. Overall, notwithstanding the current situation in China, our long-term growth, margin and return metrics are solidly on positive trend lines. Turning to our financial results. Total revenue in the fourth quarter was $124 million, up 14% versus last year, resulting in $396 million for the year, an increase of 6%. Moving to our main business segments, for 2019, we saw the network business deliver a 4% increase in gross profit off of a 7% increase in revenue. Gross margin pressure was generally due to the increased contractual marketing expenses incurred during the second quarter. The theater business delivered gross profit that was up slightly versus 2018. It’s important to note that the first quarter of 2018 had unusually high installation margin, and 2019 reflects the early phase cost profile of our new laser product. Importantly, we saw a sequential gross margin improvement in our STL theater system installs as the year progressed, ending with a fourth quarter margin of 53%, and our total theater business margin of 51.2% was up 410 basis points year-over-year. Moving on to operating expenses, which we define as SG&A plus R&D, less stock compensation, were $108 million for the year, down 3% versus last year, which was better than our guidance, which called for flat OpEx. In fact, 2019 marks the fourth consecutive year of OpEx in this range and the lowest level since 2015, which is particularly impressive when you consider that our commercial network has increased more than 60% over that same period. Please note that the sequential spike in SG&A from the third quarter of 2019 to Q4 was primarily due to the timing of marketing expenses that shifted later in the year as well as some executive transition costs. Net income for the quarter was $18.2 million or $0.29 per share, while adjusted net income was $21.5 million or $0.35 per share versus $0.26 last year for an increase of 35%. For the year, net income was $46.9 million or $0.76 per share, while adjusted net income was $64.8 million or $1.05 per share, up 15% versus last year. Adjusted EBITDA for the quarter was $47 million, up 29% versus last year, producing adjusted EBITDA margins of 41.7%, up 440 basis points versus last year. This resulted in full year 2019 adjusted EBITDA of $149 million, up 12% year-over-year and adjusted EBITDA margins of 41.7%, as I previously mentioned. As Rich mentioned on Slide 8, you can see the benefit of global diversification. Last year, large year-over-year gains in rest of the world and Greater China drove our 7% increase in gross box office. Turning to our theater signings activity. Our sales team delivered 143 total signings for the full year, of which 104 were for new theaters. We installed 58 new IMAX systems in the fourth quarter and 98 – 95 systems overall. For the year, we installed 186 systems of which 129 were for new systems and 57 were for upgrades. It’s worth noting – it’s worth highlighting that our rest of world network grew by 9% year-over-year and with 417 commercial multiplexes in operation is now larger than our domestic network.  Our backlog has also shifted to 60% sale and hybrid up from 52% last year. As we continue to identify the most appropriate business models to deploy around the world on a theater-by-theater basis. We ended 2019 having generated $24 million of free cash flow, calculated net cash from operating activities, less cash used in investing activities. As a reminder, in 2019, we spent approximately $22 million on share repurchases, primarily of our IMAX China stock. As a result, our ownership of IMAX China is now 69.7% compared to 68.2% a year ago.  We also strategically invested in Maoyan, the leading movie ticket platform in China. And 2019 capital expenditures were $74.3 million down from $80.1 million in 2018, our lowest level in six years. Looking ahead at 2020, obviously the situation in China makes it difficult to provide box office outlook. What we can say is that outside of China, our quarter-to-date box office results are generally in-line with our internal plans. While the near term impact on IMAX is material, partially offsetting the impact is our network growth and positive trend in the rest of the world. Regarding installations, once again, given the situation in China, it is difficult to provide projected range. That said, we are pleased with our momentum in new and emerging markets and expect our network outside of Greater China to grow by mid-to-high single digits, which is a slightly higher growth rate than 2019. For the first quarter specifically, we expect a total of 10 installation broken down as follows: five new installed – five new installations, presale and two JV, and five JV upgrades to IMAX’s Laser. Of the total 10 total installations, five are already complete. SG&A related stock-based compensation is expected to be around 22 million for the year. We also anticipate our full year effective tax rate to be approximately in line with 2019. To close, we are pleased with the positive momentum we have witnessed over the past couple of years. Our strategy and execution in 2019 position us to capitalize on the IMAX centric 2020 slate and what looks to be an extraordinary content slate in 2021. With that I’ll turn the call over to Rich for concluding thoughts before we open up the call for Q&A.
Rich Gelfond: Well, let’s just open up to questions.
Operator: Thank you. [Operator Instructions] We’ll take our first question today from Eric Handler, MKM Partners.
Eric Handler: Thank you very much. Hope you can hear me, okay. I’m at an airport, so I apologize for excess noise. But, Rich two questions for you. First, it’s great to see you guys updating your addressable market. You said it was three to five years out, so I’m just curious, what was the prior baseline that we’re using for North America, China and the rest of world? Just so we’re – I believe your prior guidance was for 10 years, so now like its three to five years.
Rich Gelfond: No, no, no. It’s always three to five years. Eric, the reason is because the economies changed, so it’s the same basis as the last one was prepared. While you ask your second question, is that the number? It was about 2850.
Eric Handler: It’s about 2850. Perfect. Thank you, great. And then secondly, with IMAX Enhanced, obviously you have some interesting data points to share here. Is there, have we reached some inflection point with this new business that maybe we start seeing revenue ramping a little bit more aggressively in the coming quarters or is this still a very nascent, don’t put a lot in there in that line-item business?
Rich Gelfond: I would say for this year it’s still a nascent, don’t put a lot in there, line item basis. But we’ve been making some strategic progress and again, if we follow through on these things we’ll let you know. But I think we are close to a tipping point where it could be a business that contributes in the years going-forward, but not this year.
Eric Handler: Okay. Thank you very much.
Operator: Next up is Alexia Quadrani, JPMorgan.
Alexia Quadrani: Hi, thank you very much. I think it’s first on the coronavirus, has it impacted, do you think the movie going sort of behavior or experience or just traffic in general in Asia, ex-China, sort of looking at your other markets outside of China within Asia? And then a sort of a second question, sort of staying on this topic. I guess, how should we think about the piracy risk or maybe more middle interest in going to a Hollywood film that has a delayed release in China sort of later in the year, well after it was already released here in the U.S.?
Rich Gelfond: So to your first question Alexia, we haven’t really seen any impact outside of China and any in fact that’s we said in our scripted comments, the rest of the world and the domestic market separately are very close to what our budget was at the beginning of the year, so there hasn’t been really a noticeable impact. The second thing would be the piracy risk. Look, it’s hard to gauge as we looked at after SARS happened in Hong Kong, the first half of the year was extremely weak, but the second half of the year was really very strong and that’s really the only measurement we have to go by. I think your point is well taken that in fact some films clearly won’t be able to be day-in-day, because they’re not being released right now. But I think you’re condensing a year’s worth of movies into however many months it is – that it’s open. So I think you’ll have a lot more Hollywood movies in a shorter period than it would have been, but for this. So when you blend it all out, it may affect some movies. But I would expect there would probably be shorter play times, because there are so many more movies out there in that period of time, but it’s premature to quantify it.
Alexia Quadrani: All right. Thank you very much.
Operator: Our next question will come from Eric Wold, B. Riley. 
Eric Wold: Thank you. Good afternoon. Two questions, if I may. I guess, first off, Rich, on the increase in TAM from [indiscernible] plus, maybe kind of dive into that a little bit deeper and kind of maybe park to where those markets or screen opportunities came from. When you do small markets that clearly couldn’t support a screen, but now it can because of reduced cost of entry? With a market now developing in terms of overall movie going demand, maybe where that demand came from?
Rich Gelfond: Yes, I think the main markets, Eric, are the Middle East and specifically Saudi, which obviously didn’t exist before last year as a market, Southeast Asia, India, Japan, maybe a little bit South America. Again, just to remind you of the methodology, we do a bottoms-up approach every couple of years, and it’s done in combination with our field managers as well as our central sales staff, and we look at what’s happened to the number of theaters in that country, the addressable market, ticket prices. We zone it out, things like that, but that’s kind of our best guess.
Eric Wold: Okay. And then, Patrick, on the – when you think about China and kind of the delayed release of the titles in that market, I guess, both for China only local language titles as well as maybe Hollywood ones being released in that market, how is the timing or delayed releases or even cancellations, so to speak, if there are, impact DMR cost recognition?
Patrick McClymont: Well, for the local language titles, we’ve done the work for the Hollywood titles. And so we’ve already had those expenditures, but we won’t actually amortize that until they get released. And so we just push it out until deeper into the year, once those get scheduled. And for Hollywood, it will be – probably titles that we’re leasing around the world, we’ll continue to amortize those as they’re released. But we’ll push some amortization deeper into the year, once they get released in China. 
Eric Wold: So I guess the question was, assuming the plan was not released theatrically, these expenses, when do they eventually hit a bit to you?
Patrick McClymont: Well, if something were truly canceled, and we haven’t yet spent anything on the DMR, then it just – it would come out of our numbers. If something gets canceled that we’ve already done the work on, than once it becomes canceled, we’d have to just run that through the P&L. But keep in mind that the way it works is, the DMR work is done here. China pays us for that. And so as those things unfold, there’d be an impact on the China P&L and a small impact on the core P&L as well.
Eric Wold: Got it. It’s helpful. Thank you, guys.
Patrick McClymont: Welcome.
Operator: Up next, we’ll hear from Vasily Karasyov, Cannonball Research.
Vasily Karasyov: Hello, good afternoon. Thank you. A couple of questions. First, wanted to ask you to talk a little more about the drivers of the strength in international ex China box office in 2019, which was, in dollar terms, I think, is the largest driver of year-on-year increase? What you’re seeing by territory in terms of PSAs because I think there was a concern that as you expand, PSAs will drop. And so wondering if you could give us some color on that? And the second question I’ll ask right away. How – is it different for you now to be dealing with five Hollywood studios, major Hollywood studios than with six? Just curious how it changed your business, the acquisition of Fox by Disney? Thank you.
Rich Gelfond: So your first question, International ex China. I think it’s driven by a lot of theater growth in high-performance markets. So our Japan market, we become much more penetrated, and we have extremely successful theaters there, and we’re growing those fairly rapidly. The Middle East would be another area I would identify growing. India is another market that’s been growing well. Europe. So I think the expansion of our network particularly in higher ticket price markets, Germany would be another one, has really driven that. The second part was your PSAs. I don’t have that by region off hand. But I can tell you that last year worldwide IMAX’s PSAs were up 2%.
Vasily Karasyov: Right. And then the six versus the five major studios?
Rich Gelfond: We haven’t really seen an impact at present. We have a wonderful relationship with Disney. And as has Fox has gotten integrated, we’ve released a number of the Fox movies through Disney, and I don’t really think there’s been a change.
Vasily Karasyov: All right. Thank you.
Operator: Up next, we’ll hear from Mike Hickey, The Benchmark Company.
Mike Hickey: Hi, Rich and Patrick. Thank you for taking my questions. Congrats on the quarter, guys. It looks like the coronavirus is driving an impact on your stock. Just curious, your thoughts on your buyback moving forward? If you think you’d be more aggressive, if you’d be buying in the quarter? Any part of that would be helpful?
Rich Gelfond: We have a buyback authorization in place. We’ve said before that we’ll be opportunistic and we will be. And that’s about all I can say right now.
Mike Hickey: Okay, good. Are you hearing anything, I guess, encouraging from China in terms of, any of your theaters are going to start opening up again, if it’s going to be all at once? Or rollout? Or any positive signs coming from the region?
Rich Gelfond: I mean, it’s very hard to predict when the theaters will open up, because there are a lot of issues. It’s not just the slowdown of the infection, but there’s also getting infrastructure back and what government policies are. And certainly, we’re not smart enough to predict that. There have been, over the last couple of days, some small positive signs such as number of cures has exceeded the number of new infections and things like that. And I think if you focus on some of the Tier 1 cities. Clearly, it hasn’t been close to as dull as it has been in Wuhan and the surrounding province.
Michael Hickey: If the closures extend further, do you have concerns that you may see some of the state migrate to streaming like we saw with [indiscernible] in Russia?
Rich Gelfond: I’m sorry; it got garbled at the end.
Patrick McClymont: Streaming, from the...
Rich Gelfond: Not – yes, I got it. Not really. I mean, there was one film that went to streaming during Chinese New Year, but that was a unique situation where a particular service had a relationship with a director and the movie had some financial issues where it needed to recoup in a period of time, and that issues where it needed to recoup in a period of time, and that has not been very well received by the Chinese exhibition or studio community. So I don’t think we’ll see that.
Michael Hickey: Okay. Thank you very much. Best of luck.
Operator: [Operator Instructions] We’ll go next to Jim Goss, Barrington Research.
Jim Goss: Thanks. You have a number of motivations in terms of various markets in which you can expand your franchise that you’ve been outlining. Does this situation in China make you veer towards some of these other potential growth markets, just to sort of balance out the risk? Or does the bottoms-up approach and growth in China, do you expect will return? Keep your efforts in that area as it has been?
Rich Gelfond: Hey, Jim, in China, we created $1 billion business in terms of value. And it’s there’s been a black swan event that’s happened. I don’t regret doing that. And we’ll be doing business in China for a very long time. And I don’t think a black swan event is going to change that, and we’ll explore all opportunities through our – globally. But despite this obvious short-term setback, we remain, long-term, as excited about China as we’ve ever been.
Jim Goss: Okay, fair enough. And to the extent that this silver lining might have developed and that some of these movies that were going to be focused on Chinese New Year are going to spread over the rest of the year, I’m thinking back to the greater usage of the entire calendar domestically for Hollywood, do you think you might want to push that issue more in future years, just to take advantage of more of a calendar than you have been? And how much can you influence that process?
Rich Gelfond: So we certainly, in general can influence release dates, but I think the Hollywood studios have a fair line in the sand about not sharing screens, and I don’t think we have the ability to influence that policy. In China, even before this, they’ve been open to screen sharing in multiple titles. And as a matter of fact, we were going to play multiple titles during the New Year period. So I don’t think this sad event has affected that one way or the other.
Jim Goss: Okay. Last question. You noted the new growth levers, streaming partnerships. Is there any conflict with the exhibitor stance in terms of those issues that might require some adjustments or negotiations or do you think that can be finessed?
Rich Gelfond: I don’t think it’s going to be an issue, Jim. We played a short-form piece for Anima, a project film shot by Paul Thomas Anderson. And it was released by Netflix very close to when it was released and the exhibitors didn’t have an issue with that. I think their issue is – we’re doing around traditional movies. So I don’t think that will be an issue.
Jim Goss: Alright. Thanks very much. Appreciate it.
Operator: And everyone, at this time, there are no further questions. I’d like to hand things back to Mr. Gelfond for any additional or closing remarks.
Rich Gelfond: Yes. Thank you very much, operator, and thank you, everyone, for joining our call. Obviously, 2019 was a very strong year for us. As Patrick said in his script, we outlined for you all on what we hope to accomplish financially, and we met virtually all of its goals. During the year, we expected to use that momentum into this year, but unfortunately, the sad events in China around the coronavirus have made it a tough start. But when we look at the film slate this year, we look at the film slate next year, we look at the growth we’ve delivered and our expanded view of the markets we can penetrate once we get past this period, we think we’ll resume the kinds of things we demonstrated in 2019. So thank you all for joining our call.
Operator: Ladies and gentlemen, that does conclude today’s conference. We would like to thank you all for your participation. You may now disconnect.